Operator: Welcome to Neogen’s fourth quarter and fiscal year 2010 year end result Conference Call. My name is Christine and I will be your operator for today's conference. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this call is being recorded. I will now turn the call over to Mr. Jim Herbert. Mr. Herbert, you may begin.
Jim Herbert: Thank you, Christine. Good morning and welcome to our regular quarterly conference call for investors and analysts. As it was announced this does cover our fourth quarter which ended May 31 and we'll also of course now be able to provide you with a summary of the company's complete fiscal year. I would remind you that some of the statements made here today could be termed as forward-looking statements. These forward-looking statements, of course, are subject to certain risks and uncertainties and the actual results may differ from those we discuss today. These risks that are associated with our business are covered in part in the company's Form 10-K as is filed with the Securities and Exchange Commission. In addition to those of you who are joining us today by live telephone conference, I would also welcome those who may be joined by way of the simulcast on the Worldwide Web. These comments with some exhibits will be on the web for approximately 90 days. Following our comments, prepared comments here this morning, we'll entertain questions from participant who is are joined on this live telephone conference and I'm joined today by Lon Bohannon, Neogen's President and Rick Current, our Chief Financial Officer. Earlier today Neogen issued a press release announcing the results of our fourth quarter and full 12 months of the company's 2010 fiscal year. As in earlier quarters of this year, I'm pleased with the results and have continued to have the greatest respect for our team of 600 employees now located around the world who just never quit, despite the fact that this was one of the most – most have been – most of our markets have undergone some pretty tough economic stress during the past 12 months. Let me first address the fourth quarter. Our net income for the fourth quarter jumped 36% to $4.6 million. That equates to $0.20 a share as compared to last year's split adjusted $0.15 a share. Fourth quarter revenues increased 27% compared to the previous year, to slightly over $39 million in the fourth quarter. And by the way, the fourth quarter was, I think it marks the 73rd quarter in the past 78 in which we've shown increased revenues compared to the previous year. That's a record – A revenue record now that now spans over 19 years. It also marks a span of over 17 years in which the company has shown consecutive profitable quarters from its operations. With the fourth quarter now recorded, we can now, of course, review for you our 2010 fiscal year. Revenues for the year increased 18% to approximately $140.5 million. That's up from $119 million last year. I think it's even more noteworthy as this year's results were net income, which increased 26% from last year to $17.5 million and that equates to $0.76 a share, compared to $0.61 a share a year ago. As been our strategy for the past number of years, we grew both the top and the bottom line this year through an increase in market share, introduction of new products to the market and synergistic acquisitions. Though income from new acquisitions helped us attain this year's growth, I think it is particularly noteworthy that same-store sales or organic growth, if you will, increased 13% even though it’s been a troubled financial year for many of our customers as I mentioned earlier. Rick Current's comments in this morning's press release, concerning financial performance metrics for the year, Rick said that they did match the exceptional level in operating performance and we generated $28 million in cash flow from operations for the year and decreased our inventory as a percent of sales. In fact, we had slightly less inventory at year-end than we did at the beginning of the year, despite the fact that we increased revenues by 18%. The balance sheet continues to be strong. We finished the year with $22.8 million in cash, up $9 million from the beginning of the year even though we accomplished two acquisitions from the available cash. It's also noteworthy, I think, that the results of this year were responsible for a 19% increase in shareholder equity as compared to last year end. We did a couple of nice acquisitions during the year that will likely have more impact on our new 2011 fiscal year than they did in the year that we just completed. In December we acquired the BioKits food safety business from Gen-Probe that added a number of food allergy diagnostic tests that were not currently being offered by Neogen. This acquisition also provided us with an attractive line of tests to determine meat speciation, as a tool to prevent economic adulteration. The BioKits business had a good market position in several European countries and that's added additional penetration for Scotland-based Neogen Europe operations. The BioKits business was located in New South Wales in the U.K. Following the acquisition, we determined that most effective integration of that business would be to relocate the sales and marketing portion, along with selling the manufacturing to our operations in Scotland and then move the remainder of it, particularly the manufacturing operations to our efficient business here in Lansing, Michigan. As of the 1st of May that integration was complete and the operation of Wales has now been closed. The acquisition brought to us an additional $3 million in revenue based on its business in the prior 12 months before we bought it. However, we've been successful in growing that business both in the U.S. and in Europe over the past six months since it has been a part of Neogen. I think that this is, of course, the result of a broader distribution, along with the – considerably larger sales operation. On the 1st of April, we announced that we had purchased all the outstanding stock of GeneSeek incorporated of Lincoln, Nebraska. This company is considered to be the leading commercial agriculture company genetics laboratory in the U.S. and is now being integrated into our animal safety group. GeneSeek had recorded revenues of approximately $12.5 million in calendar year 2009 and then it enjoyed some very impressive growth in the previous three years. Based on our performance in this first three months since the acquisition, we believe that we'll be able to continue both revenues and profit growth for our 2011 fiscal year that will match Neogen's growth records. GeneSeek employs the most up-to-date, cutting-edge technology in their genomics. This technology utilizes high resolution DNA genotyping to identify and analyze traits for a variety of important animal and agriculture plant species. Through the use of these single nucleotide polymorphism discovery and analysis, GeneSeek empowers our customer to speed along genetic improvement efforts as well as to identify economically important diseases that occur back inside the farm gate. GeneSeek is not involved in cloning or the development of transgenic animals. Instead, the results of its technology allow for the acceleration of natural selection through selective breeding for traits such as disease resistance and meat quality. GeneSeek will continue to operate as a wholly owned subsidiary in Lincoln, Nebraska where we employ approximately 40 people. Not only do we expect this business to be important to our animal safety group, but the cutting edge genomics tools should also allow us to develop more superior diagnostic tests at a faster rate for our food safety group. Let me stop and turn the call over to Lon Bohannon who will give you some of the real color on the various areas of our operations during the year. And then I'll come back and close out with a few thoughts about what is happening in our markets and our expectation of the 2011 year that we've began now about seven weeks ago. Lon?
Lon Bohannon: Thank you, Jim. And I too would like to welcome everyone listening on the conference call, as well as those joining us via the Internet. As we entered into our 2010 fiscal year that we are reporting on today, Neogen was faced with a number of challenges, mostly due to the poor economic conditions that existed for many of our customers and in several market segments. Nevertheless, we closed our remarks one year ago by saying that management believed that key growth drivers remained in place that would allow Neogen to continue its tradition of consistent quarterly increases in sales and earnings. That proved to be true. And as we move through fiscal year 2010, our growth in sales actually accelerated from quarter-to-quarter, capped off by an outstanding fourth quarter performance where, as Jim indicated, we achieved growth of 27% compared to the prior year. This excellent sales growth enabled Neogen to report another record year of earnings. I think today's press release described Neogen's growth of sales along with increases in operating profit, net income for the fourth quarter and our 2010 fiscal year provides a pretty good indication of the overall indication of Neogen as a company, but I would like to give you a few more details of some highlights that contributed to the outstanding results, we reported earlier today. I already stated that our fourth quarter was Neogen's best of the year in terms of sales growth. The overall 27% increase in sales was the result of organic sales growth supplemented by sales added through acquisitions. Management has consistently said that we believe that we can achieve organic growth in the range of 9 to 11% each year, with acquisitions providing additional growth opportunities. It should enable Neogen to approach annual growth rates of approximately 20%. This strategy has proven successful and Neogen has achieved compounded revenue growth of 18% over the last 15 years. In terms of our fourth quarter, last year's acquisition of international diagnostic systems and this year's acquisitions of the BioKits food safety business and the GeneSeek genomic lab service business certainly contributed to our overall sales growth. However, organic sales growth also remained strong in the fourth quarter, achieving an increase of 16% compared to the prior year. This excellent fourth quarter same-store sales increase, helped drive Neogen's overall organic growth for our 2010 fiscal year to more than 13% as Jim mentioned in his earlier communities. Now the strong organic sales growth for the quarter and the year was led by the sales of food safety diagnostic products, which increased 24% for the quarter and 22% for the year. Many of us at Neogen are calling 2010 the year of Vomitoxin or we often refer to as DON. This specific mycotoxin is usually associated with contamination of wheat. But large per se, the last fall’s corn harvest was affected by DON, leading to a surge in demand for Neogen's industry leading DON test kits. As a result sales of diagnostic test detect naturally occurring toxins, were especially strong with growth rates of 47% and 36% respectively for the quarter and the year. The aforementioned acquisition of the BioKits food safety business from Gen-Probe contributed to an exceptional increase of fourth quarter and fiscal year sales of allergen test kits. The BioKits business added a number of user friendly formats that have been well-received by Neogen's customer base. Neogen's food allergen food test kits sales have consistently been achieving double-digit organic growth rates and the addition of the BioKits allergen product line helped drive, overall, food allergen sales growth for the 2010 fiscal year to an increase of more than 50%. Other food safety product lines experienced strong organic growth for the quarter and the year, include Neogen's AccuPoint reader and sampler system used for Sanitation Monitoring. Our Solaris consumable vials used to detect general spoilage organisms such as yeast and molds and our Acumedia line of dehydrated culture media. All of these product groups achieved solid same-store sales growth, ranging from 12 to 30% for the fourth quarter and from 13 to 23% for our 2010 fiscal year. Our Neogen Europe operations turned in yet another outstanding quarter in fiscal year. In the fourth quarter, Neogen Europe was able to take advantage of sales growth related to the BioKits acquisition, as well as their own internal efforts to increase same store sales, of existing food safety product lines to attain overall sales growth of 41%. For the year, Neogen Europe realized a 24% increase in sales, which played a big part in Neogen once again, achieving 40% of its total revenues from international sources. The animal safety side of Neogen's business experienced a nice rebound in the fourth quarter, with organic sales growth of more than 7%. And aided by acquisitions, the animal safety group total sales growth reached 22% for the quarter. Jim has already commented on the benefits and some of the opportunities we see related to GeneSeek, so, I'm going to focus my comments on some other animal safety successes for the quarter and the year. Tests for drug residue sold to – but forensic applications experienced really what was quite a spectacular year of growth with sales more than double compared to our 2009 fiscal year. Most of this increases with due to the synergistic acquisition of international diagnostic systems. However, organic sales growth of consumable test kits was also strong with an increase of 18% for the year. Sales increases were particularly strong to private sector laboratories focusing on hospital workplace and pain management testing panels. Neogen's biologic products sold under the Botvax B and EqStim brand names closed our solid year of growth, with an 18% increase in the fourth quarter, which for overall year to date sales growth for these high margin products were 6%. You may recall that Botvax B is a unique vaccine used in the prevention of Type B botulism in horses. A number of our veterinary product sold, what we call the over-the-counter market channel, did struggle during fiscal year 2010. That’s because many of these products are ultimately used by customers that are involved in the production of animal protein. This group of customer has been hit especially hard by the economic recession that has forced an overall reduction in the number of food animals and therefore a reduction in demand for some of our veterinary products. However, there were signs of recovery for a number of these customers as we moved into calendar year 2010 and especially in our fiscal fourth quarter. For example, our line of ideal veterinary instruments was up 14% for the quarter. Similarly, our care line of products used primarily at the dairy farm also achieved the sales increase in the fourth quarter, after suffering a decline in sales for the first nine months of fiscal year 2010. Although many of our customers, serving the animal protein markets continue to face some difficulty economic challenges, we were encouraged to see improvement in fourth quarter sales of product lines that were serving this customer base. The best performing products in our animal safety group for the year were Haccos, rodenticides and cleaners and disinfectants. Neogen, as position of these products as a critical component of an effective file security program and we are saying success in market share gains, with this one-stop shop strategy and high end of food safety solutions. Cleaner and disinfectant sales attained solid organic sales increases, ending the year with overall growth of 10%. Growth was particularly strong in the Andean countries of South America, where Neogen negotiated new distribution rights as part of our collaborative working relationship with DuPont. And we continue to make headway on a tedious process to transfer countrywide discretions for disinfectant that we acquired almost two years ago. And anticipate further growth in international sales of cleaners and disinfectants as we move forward in our 2011 fiscal year that began on June 1. The big winner for animal safety in 2010 was our rodenticide product line. Domestic rodenticide sales were up 36% for the quarter, they ended the year at 27% above the prior year. Rodenticide sales to international markets achieved similar outstanding results with sales more than doubling in the fourth quarter and ending the year with a 25% increase. New packaging configurations introduced more than one year ago and the addition of a new active ingredient is used in conjunction with other rodenticides for rotation, rodent control applications contributed to this stellar growth of the rodenticide product line. I think it's also important to point out that we have added direct sales personnel to focus on certain strategic market for both rodenticides and cleaners and disinfectants. And this investment staff has also contributed to the significant sales for Hacco product lines. And that covers many of the key products and market highlights for the 2010 fiscal year, but I would like to make just a few brief comments on margins. I'm sure you noticed that the overall gross margins improved 180 basis points in the current fiscal year to finish just under 52% of sales, more important from my perspective operating profit also improved by 180 basis points finishing the year at 19.1% of total revenues. And I stated in other way, we were able to achieve a 31% increase in operating profit on an 18% increase in sales. In my opinion three factors were the primary contributors to this performance. At first, we continued to gain operating leverage as our sales grow and we obtain better utilization of facilities and other components of overhead that, by and large represent a fixed cost. Second, the 2010 fiscal year benefited from exceptionally strong growth of diagnostic products, resulting in a favorable mix of high-margin product sales compared to the prior year. And lastly Neogen continues to benefit from ongoing efforts to contain and reduce costs and from team-based projects aimed at improving efficiency and productivity. I believe we were successful during the 2010 fiscal year, in improving our operating profit line by at least three quarters of a million dollars, as a direct result of our cost saving and productivity improvement initiatives. I'd like to conclude by expressing my appreciation to Neogen's employees, who delivered outstanding results in the face of an uncertain economy, their contributions to our success never ceases to amaze me. At this point let me turn the call back over to Jim for some comments on future prospects and the overall outlook for Neogen as we move into this new fiscal year.
Jim Herbert: Well, thanks, Lon. I'm sure that you can tell from Lon's comments that it sure is easier to build a strong growth strategy, when you have a strong operations group as Lon has built. This group helps, among other things, make certain that all of our acquisitions are adequately integrated and are accretive at both the top and the bottom line. Over the past ten years, we've been successful in making 18 acquisitions, all of which have been truly synergistic to our business and all continue to add to our revenue and our profit growth, all of the drivers for Neogens growth because I think as we look forward to continue to be solid. This continued worldwide concern about food safety back inside the farm gate, as well as from the processing plant to the dinner plate. There's also building concern regarding food security. Food security I think could be defined as the world's ability to produce more quality food to meet the growing population demands. Economists have forecasted that we'll need 30% more food by 2025 and that's only 15 years into the future. These demands of increasing food supply, while at the same time reducing costs, will be more dependent upon larger production units and processing facilities. This means a larger concentration of animals in small areas, bigger and higher-speed processing plants and faster distribution systems to get food from the farm to the dinner plate. All of these, of course, will increase the likelihood of food safety problems and will most certainly add to the growing problem of widespread outbreaks of foodborne diseases unless we can take remedial actions. Regulatory requirements and regulatory intervention is being stepped up both here in the U.S. as well as in most countries right around the world. As an example, a new rule concerning Salmonella contamination in eggs became a final regulation on July the 9th, that was last week. This covers approximately 82% of the shell eggs produced in the United States. For the first time, the food and drug administration now has jurisdiction back inside the farm gate. In the past, this was a jurisdiction that was reserved only for the U.S. department of agriculture. And I think it is also note worthy that this is only the second time in the history of this country in which there has been mandated testing of food products, the other one was, of course, milk. Remember that all the regulations have just simply made it unlawful to sell unadulterated food but did not in fact mandate testing of any food other than milk. Beginning this month, it is now mandatory that chickens producing shell eggs for retail consumption will be tested for the presence of Salmonella enteritidis three times during their life. If it is found that a flock is positive for this Salmonella species, all eggs then must be diverted to an egg breaker, where they will be pasturized to kill any salmonella organisms. A similar activity is beginning to develop that will have an impact on beef producers. USDA has now issued draft guidelines on methods of controlling E. coli 157:H7 on the farm before cattle go to slaughter. Furthermore, the SDA and FDA have now publicly recognized that it is not only the 0157 species of E. coli that is a major health problem but there are six other sisters, if you will, that have also been identified. There's an example. Once Australian beef was considered generally has not having a problem with E. coli but it has now been established that one of these sisters E. coli 0111 found in Australia is responsible for some serious disease outbreaks. FDA is investigating new food vehicles other than ground beef that are creating problems. Again, as an example it was recently proven that an Italian style peppered deli meat was responsible for allergenic bacteria outbreak, where it was found that E. coli 0145, another of those sisters was responsible. We’ve always generally recognized that there are four pathogenic bacteria that have created food safety problems because E. coli and Salmonella were the first to be addressed. And then a few years ago Listeria testing started to get more widespread attention. And now the fourth one Campylobacter has likely more attached. The SDA is now proposing the first ever standards for Campylobacter contamination in poultry. We still don’t have final congressional action on Food Safety Modernization Act. This bill was passed many months ago by the U.S. House of Representatives and the Senate version of the bill was reported out of committee for full Senate vote a number of months ago. The bill provides more regulatory authority to the Food and Drug Administration than probably anytime in the history since that original act was approved well over a half century ago. The bill has widespread bipartisan support on both sides of the aisle and was expected to be approved any day now for over six months. Always seems to fall behind on the Senate calendar as healthcare and financial reforms have dominated attention. My friends in Washington tell me that it could clear the Senate in three or four days, if it ever got brought us for vote. However, we're now running out of time before any action before the August recess. There are a number of similar activities that I could talk about both here in the U.S. as well as in most developed countries in the world particularly in the European Union, however, I think that you borrow details from these comments that the drivers for Neogen's growth continue to be solid. As some of you have followed the company for the past couple of years, you will remember that two years ago we announced that our revenues blew through the $100 million mark and at the same time, we made it clear that this was merely a sign post and not a hitching post. And at that time, we immediately announced our plans to boost revenues to $200 million. Last year and again this year, our revenues have exceeded the plan. And I believe that we're well on our way to exceed that $200 million mark before the end of our 2013 year. We'll get there by the same announced growth strategy. The first of these will continue to come through market share gain. We're fortunate in that most of the markets that we serve are continuing to grow and we also believe that we're taking some additional market share in several important areas. The second piece of the plan continues to provide new products for our current markets – I seem to have a frog in my throat this morning. We began a very aggressive acceleration of our R&D activities a year ago and several of the products from that activities are now beginning to come to the food pipeline into the market. We'll be carrying on an even more aggressive R&D program in the current 2011 fiscal year as we work towards improving or enhancing a large number of our existing products in order to maintain the competitive edge and at the same time be introducing new products that our customers are going to require. The third piece of the plan is to continue our record of synergistic acquisitions, two acquisitions that we made earlier in fiscal 2010. As I said, we'll continue to add more revenue and profits. One thing – one of those was only onboard for six months and the other one was on for, like, three months. Again we'll continue to make sure that these areas of growth as we look at all three of these building blocks are not only applicable to the U.S., but we'll also strive to put extra effort on our international revenues. Even though 40% of our revenues for the past year came from sources outside the U.S. We believe that there's still lots of opportunity to grow there. And through our management discussions last week about the future growth of Neogen, made a comment that I rather liked and perhaps it is a good way for me to conclude my comment this morning. His observation was never better, never satisfied. I think this concludes our prepared comments for this morning and we'll now open up the conference call for questions from participants.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) Your first question comes from Steven Crowley from Craig-Hallum Capital. Please go ahead.
Steven Crowley – Craig-Hallum Capital: Good morning, gentlemen and congratulations on another excellent performance.
Jim Herbert: Thanks, Steve.
Lon Bohannon: Thanks, Steve.
Steven Crowley – Craig-Hallum Capital: A couple of questions, you mentioned progress with the former DuPont Animal Health disinfectant line and its integration with your product line. You know, part of the – the vision and strategy there was to move manufacturing to your Wisconsin facilities and pick up some margin. Can you give us a status update and kind of outlook as to where we are in that process and where there might be some margin benefits?
Jim Herbert: Yeah. We – we have moved some much of that product and we'll continue to move more. In fact, we have a – ongoing discussions in the state of Nebraska now. As we look at expanding that facility, we're about out of space there. We're looking at the building of a new – principally a new warehouse to help accommodate our moves there. But we'll – I think that Lon can maybe give you more of the numbers behind it, but we haven’t really begun to see all of the bottom-line improvement based on being able to get that – get that stuff transferred.
Lon Bohannon: Yeah. Let me just add some – something to some of the comments there. It's tied in, the movement of those manufacturing or the manufacturing of a number of those disinfectants is also tied in to getting registrations and made – in my comments, I included the fact that we have been moving forward that total process has been agonizingly slow in working with a number of these governments and regulatory agencies in foreign countries. We do have a number of those done now. The first of those products has been transferred to our Hacco operations and we are manufacturing there. Actually, I think, maybe two of them are and we've already identified the next five in priority order that we want to do that. And I fully expect that all of that will take place as we move through the first six months of this fiscal year and we'll start to realize the benefits of improving our margins for manufacturing at that location. And as Jim said, we have to make a few adjustments to facilities there to expand that disinfectant manufacturing capability. So the process of getting registrations change took us longer than we thought it would and maybe longer than it should have. But we are making progress now and so we feel good about actually starting to realize the benefits of those changes as we move into fiscal year 2011.
Steven Crowley – Craig-Hallum Capital: Okay. And strategically, it looks like the fit of the products have been good. Now, hopefully, you can pick up some of the margin benefit that you articulated 18 months ago. Okay. In terms of switching gears over to the DON equation, I trust you're continuing to benefit from the DON issue in the last corn group until we get the new harvest. I did see in the Wall Street journal a month or so ago, some concerns expressed about winter wheat and DON. What can you tell us about that equation and how you are scoping that out?
Jim Herbert: Well, the – you are keeping up on all of the things associated with our business, I can say that, Steven. You are exactly right. We are seeing, in terms of last year's corn crop and the impact of that, the sales of those products are starting to decelerate as we anticipated as we move through this first quarter but there is still a fair amount of testing that still goes on particularly compared with same period last year. And we'll have to see how the – how the corn crop turns out this year in terms of what the impact is going forward. We are seeing pockets of DON and which is the – the deoxynivalenol is a residue from a mould growth of Fuserian mould that grows and as I indicated in my comments it is usually found in wheat. And there have been outbreaks this year in certain pockets in areas in the winter wheat crop in the U.S. and we have seen an increase in sales related to tests in that winter wheat. So we are seeing some benefit from that and it is individual pockets as was described in the article that you read.
Steven Crowley – Craig-Hallum Capital: Great. The final question and I'll hop back in the queue. And this may be more for Rick and it relates to the one-time transaction acquisition-related cost to GeneSeek that I trust you, you stomached during the fourth quarter period?
Jim Herbert: Yes. GeneSeek was – their sales were about 1.9 million that they contributed. And their – I've calculated that the – they brought in less than a penny a share when we took all the costs into account on their acquisition. As you know, the accountant standards boards have seen fit now to not allow us to capitalize all the costs of acquisitions so those have to run through the P&L and much of that was experienced in the fourth quarter. Is that satisfactory for you?
Steven Crowley – Craig-Hallum Capital: Are we talking about two to $300,000 worth of costs? I'm trying to get a sense for the magnitude of those one-time costs that you shouldn’t have to lug around in the future.
Jim Herbert: Yeah. That – that would – you are correct. That is about the right number.
Steven Crowley – Craig-Hallum Capital: And you have two months of sales in this period you just reported, correct?
Jim Herbert: Correct.
Steven Crowley – Craig-Hallum Capital: Thank you very much, gentlemen. I'll hop back into the queue.
Operator: The next question comes from Scott Gleason from Stephens Incorporated. Please go ahead.
Scott Gleason – Stephens Incorporated: Hey, guys. Thanks for taking my questions. Rick, you just gave out the GeneSeek number for the quarter. I was wondering if you could give the absolute BioKits number as well. And then I guess when we start to think about fiscal year 2011, can you give us an idea of what your expectations are in terms of what the organic growth rate of those businesses could look like over the kind of current levels.
Rick Current: Those BioKit numbers are difficult because that was a full integration as opposed to keeping it as a separate organization. So that – what, we can tell you is that BioKits sold, I think around $3.5 million in the year before we acquired them. And we've – we've improved off of that but it's – giving absolute numbers are difficult because they are all combined with our existing allergen products.
Scott Gleason – Stephens Incorporated: Okay. And then I guess when we think about the organic growth rates for both those two businesses and we start looking at fiscal year 2011, can you give us a sense for what you think they are growing at?
Rick Current: Well, let me – I'll chime in because I've also got a comment on that BioKits business but, I mean, when we do acquisitions we always look at them from the standpoint that it is pretty hard for us to justify moving ahead with something that we don’t think can generate double digit organic growth going forward otherwise just get the benefit of it in the first year and we typically take that first year to try to consolidate the business, stabilize and make sure that the customers feel comfortable with the new owner and go forward on that basis but in both those cases we feel comfortable that we can grow the business. We certainly have seen that with the BioKit business, both at our Neogen Europe operations as well as in the Lansing-based food safety diagnostics business. And we're not – we're not taking credit for any of that for organic growth this year. But that is why we feel good that, going forward, we'll be able to achieve some double digit growth in those – in those areas as we move into 2011 and beyond.
Scott Gleason – Stephens Incorporated: Okay. Great. And then can you – Rick, can you give us what the currency impact was in the quarter?
Rick Current: Yeah. For the quarter, there – it was really small on the – on revenues. It was just over $50,000 of a tailwind and on operating income, it was just about $50,000 negative effect and that comes as a result of the mix of the currencies.
Scott Gleason – Stephens Incorporated: Okay. Great. Thanks. Thanks for taking my questions, guys.
Operator: The next question comes from Marco Rodriguez from Stonegate Securities. Please go ahead.
Marco Rodriguez – Stonegate Securities: Good morning, guys. Thanks for taking my questions here. I was wondering if you could perhaps talk a little bit more about your margins. And you gave some very nice color in regard to what had happened last year and I'm – I'm wondering what you guys are thinking about or how you are thinking about gross margins and operating margins going into fiscal ‘11?
Rick Current: Well, I'll try to answer that. I think I gave you the reasons on why we saw a significant increase almost 2% in both growth margins and operating margins in FY ’10 and there were three real factors. But as I indicated that last reason is the ongoing efforts that we have to continue to look for cost reductions and systems improvement that will improve productivity or efficiencies. And overall, we’ve stated that we’ve got an objective and a goal to get to an operating profit margin of 20% of revenue revenues after our first two quarters of this year. Actually I think we were there, maybe even could have rounded up after the third quarter. I don't know. And so we’re – we still believe that that's in the cards and is a good objective for us. And we believe that we can get there and it might not all come in the gross margin area because mix does have an effect on that. But as we increase sales, we do leverage some of those fixed costs that are there in the cost of good goods sold area. We usually also can find ways to improve expenses as percentages of sales in the operating expense area so that we get close to that 20% operating profit margin. And that's what our near-term objective and goal is and I think we'll continue to make progress towards getting there.
Marco Rodriguez – Stonegate Securities: Okay. So it sounds like any type of mix shift that may happen, I guess, would seem likely maybe next year on EBIT. Could you – it sounds like you are pretty confident could you offset that with operating savings – operating expense savings?
Rick Current: Well, that's – that's the way we've always run the business, Marco, is based on the operating profit line. You know there are – there are times that when we've got a synergistic product line that we can throw into the revenue line that may not have very high gross margins but it has no expense below the line really because it is a bolt-on to our sales and marketing admin and R&D activities. So, you know, as – as you look at the growth and the way at that we've run this business through the years, you know, you always have to be looking at the operating profit line more so than the gross margin. Gross margin is just one of the components, of course, to operating profits.
Marco Rodriguez – Stonegate Securities: Okay. Great. Thanks. And then I have two quick questions on the balance sheet. On the press release, the other term – the other long-term liabilities increased by a little over two times, about 410.1 million. What is in that line item?
Rick Current: It is almost entirely increases in deferred taxes. With the acquisitions this year, those generated a quite a bit of deferred tax, Marco, so…
Marco Rodriguez – Stonegate Securities: Okay.
Rick Current: So that's where it comes from.
Marco Rodriguez – Stonegate Securities: Perfect. And then lastly the inventory turns for the quarter were pretty impressive from a historical standpoint. Can you talk a little about what is driving that? Is there a kind of a different shift or mentality strategy in your inventory?
Rick Current: Well, you know, we have worked hard on inventories. And we've established new systems. We've tuned those systems and we're starting to see the results of it. You know, the – with the kind of increase in topline performance that we had with – while at the same time holding inventories level as Jim said in his comments was quite a – quite a feat for anybody to do, I think. And we're – we're justifiably proud of the operating people who put that together. In fact, our turns overall increased from 2.1 to 2.5 during the year, which is a big – a big change.
Marco Rodriguez – Stonegate Securities: And it looks like you haven't been around that level since the early 2000s. So it kind of sounds like that's the new level if you will going forward?
Rick Current: Well, we're certainly working to hold that and improve it. I think that the game here is to try to hold inventories level while we grow and force those turns up and you've looked back a lot further than I have. You went back to the early 2000s to see those kind of turns. Thank you.
Marco Rodriguez – Stonegate Securities: All right. Thanks, guys. I'll jump back in queue.
Operator: (Operator Instructions) The next question comes from Tony Brenner from Roth Capital Partners. Please go ahead.
Tony Brenner – Roth Capital Partners: Thank you. I have two questions. One is the acceleration and – excuse me, Jim, I think that I caught your frog.
Jim Herbert: Sounds like it did.
Tony Brenner – Roth Capital Partners: The acceleration in the fourth quarter in veterinary instruments, I think that you said it was up 14% in the quarter. And I'm kind of curious how much of that increases might be attributed to year-over-year comparisons, just getting a lot easier as you elected to climb previously. And how much really represents a rebuilding of animal herds, flocks, whatever?
Jim Herbert: Yeah. It's a – it's a good question, Tony and it's not easy to probably give you a definitive answer. We had actually – the impact on our business and point of the veterinary instruments actually had more of an impact in this fiscal year than it did in last fiscal year. So I don't know that the year-over-year comparison actually helped us in – in terms of that particular product line that I was referring to that was up 14%. But I think as I – as I indicated a number of those customers are still trying to find their way out of the woods and still are faced with some difficult economic challenges. But we were encouraged that – I mean the poultry industry started to recover first and I think we're seeing some now in the – in the swine area. I think that the dairy guys are the ones that continue to struggle but if we can get some improvement there, then we think that we can get that back on track and see some growth going forward. We do have a nice, broad product line there. We've got a good reputation in the marketplace. And as the economic conditions improve there, we'll get some business. And I think we're going to continue to gain market share by rolling it all together with our cleaners and disinfectants and rodenticides for a number of those customers.
Rick Current: Yeah, I think, Tony, we're probably taking some market share.
Tony Brenner – Roth Capital Partners: Okay. Thank you. Secondly, rodenticide sales I think you said, Lon, were up 100% internationally in the fourth quarter and up 25% for the year, internationally. I'm kind of curious, what did you do in the fourth quarter? Did you – you know, bring it into a much more expensive or extensive distribution and how much did that international expansion contribute to the total fourth quarter rodenticide increase?
Lon Bohannon: Well, the international portion of the business is not as large as the domestic rodenticides. It certainly helped out that overall fourth quarter number, which was up over 30%. But the thing you've got to remember when – especially when you are talking about international business, is we sell virtually all that business goes through distributors and the timing of orders and when they place those orders literally for truck loads of products can vary from quarter-to-quarter. And so when do you look at international business, it certainly contributed to some outstanding growth in the fourth quarter for us for rodenticides. But I think the key thing there is that in both domestic and international rodenticides were up in excess of 25% for the year. And I think that's really reflective of us adding some new products to the product line as well as – as gaining some market share, as Jim indicated and focusing our efforts on trying to gain market share with those products.
Tony Brenner – Roth Capital Partners: Thank you very much.
Jim Herbert: Doing pretty good in the Caribbean basin, well, doing well in the Caribbean basin, Mexico, is where a big part of that improvement came from, Tony.
Tony Brenner – Roth Capital Partners: Thank you, Jim.
Operator: (Operator Instructions) The next question comes from Steve O'Neil from Hilliard Lyons. Please go ahead.
Steve O'Neil – Hilliard Lyons: Good morning.
Jim Herbert: Good morning, Steve.
Lon Bohannon: Good morning, Steve.
Steve O'Neil – Hilliard Lyons: Great quarter. Very nice.
Jim Herbert: Thank you.
Lon Bohannon: Thank you.
Steve O'Neil – Hilliard Lyons: Just a couple of quick things. The earlier caller was talking about crops and that sort of thing and I was looking and it appeared that other than maybe a little higher than normal rainfall. It looks like, at least so far the weather conditions in the grain-producing states have been fairly normal, just wondered if that was similar to your thinking or if you might have had any comments on whether as we're in the – I guess the planting season.
Jim Herbert: Well, I think by and large we probably got better growing conditions right now than we did this time a year ago. We did – we got the corn crop being early, set a record for getting it in early, which is usually a good move and appears to be this year. We've had ample rainfall across most of the production area. But there's still – you know, there's spots that, it is summer time and there's spots where we've had too much rain and there's spots where we haven't – we got dry impact. I was talking to some people this morning in central Illinois who were complaining about needing rain, had – had not rain in 30 days and so it is a little early to be calling the crop. But I think, at least for me to be calling the crop but I would say that the beans and corn crop both look good for the year that we're in now.
Steve O'Neil – Hilliard Lyons: Okay. Secondly, did Lon's comments on the veterinary OTC business, did that include the business with the farm retail stores?
Lon Bohannon: It – it did, thank you for bringing that up. I was remiss probably in not commenting on that side of the business. That was really a part of a customer base that really continued to grow throughout the year primarily as a result of continuing to open stores. But we're also finding that we're gaining shelf space with those customers because of our broad product lines. In fact, I think if – if I recall it correctly, every single one of our sales personnel that were involved in that – in that market segment, the retail what we call the retail farm store segment exceeded budget for the 2010 fiscal year. And so that continues to be a nice group of customers for us and we continue to show increases in sales to that group. Of course, the biggest one there is tractor supply but we're working hard to expand in that area because there – there is a segment of the customer base that uses our kinds of products that are going and spending more time in those kinds of stores.
Steve O'Neil – Hilliard Lyons: Okay. And then lastly, I wondered if you could discuss the – I guess your activity or penetration of the U.S. dairy antibiotic testing market and maybe where did that – do you think that that might be headed in the short term or I guess in the long term actually as well.
Jim Herbert: I think short-term is already behind us, feels like the long-term is behind us too. I think as we gave you the last report, the product has been approved by FDA and Interstate Milk Shippers as it was originally configured. We felt like that we needed to put detection of yet one more antibiotic in there because it’s being used a little bit more in the U.S. than it has been in the past. So it’s back in third-party validation now. I think we are seeing that we hope to get it sometime in second quarter, probably not going to get it before fall. Product is good, just a matter of taking time to meet the agendas when some of these group who is have to approve it only meet every six months, it makes it a little tougher. But the good – the bad news is we don't have it. The good news is, there's still lots of good opportunity for growth once we get it. So we've been able to grow pretty good without that product in this marketplace, so I'm looking forward to seeing what Ed Bradley and his guys can do when they really start selling it.
Steve O'Neil – Hilliard Lyons: Do the competitors in that business have the same antibiotic in their tests as well?
Jim Herbert: They do, yeah.
Steve O'Neil – Hilliard Lyons: Okay. All right. Thank you.
Jim Herbert: All right.
Operator: The next question is a follow-up from Steven Crowley from Craig-Hallum Capital. Please go ahead.
Steven Crowley – Craig-Hallum Capital: Hey, guys. Thanks again for taking my questions. One kind of dual-pronged but related question and it relates to some of your kind of razor blade businesses that you referenced qualitatively. In terms of AccuPoint and Soleris, it sounds like you had some pretty decent traction late in the year. What can you populate that story with in terms of placements or applications, new applications, just trying to get a little more color there?
Jim Herbert: I'm not sure that there was anything, Lon, you may remember the numbers on – both of those are – those of you who are not totally familiar with the question, they're somewhat dependent upon the number of instruments that are out there, the razors that get placed in order to increase the disposable product sales. I'm not sure, I don’t remember if there was anything and it was a good quarter, but nothing really spectacular as I remember. I think we're seeing, more sales of the disposable products that go through. We still – with the Soleris product line, that's a capital item, the instrument there is depending on how big it is. But it can be a significant capital item. So the frustration of the food processing this year has slowed up the sales cycle on that. But, as those areas begin to recover more, I think we'll see the instrument placements pickup but the disposable placements, I think, Lon, have continued to be good.
Lon Bohannon: The disposable business has been very solid but, again, you're – you're asking astute questions, in the fourth quarter we did see a pickup of readers for both AccuPoint systems as well as the Soleris instruments that are used in conjunction with vial test for those spoilage organisms like yeast and mold. For the year we had a nice increase in instrument placements for AccuPoint. That’s probably another area where I was remiss. We may have recalled back in the fall we introduced a new instrument, AccuPoint 2, which is more user friendly, it’s got more software and that has been well-received in the marketplace and we have done a good job of getting placements of that instrument as we move through the year. And you will also probably recall the Soleris instrument is a much more expensive piece of equipment and as we started out the year that was one of the areas and one of those markets where the customers were affected by the economic conditions and there was a slowdown in the purchase of capital expenditures of nature that that Soleris instrument is. As we moved through the year we saw some improvement in that area and it was the strongest in our fourth quarter for the sale of those Soleris instruments, which makes us feel good about where we're at as we head into 2011 in terms of use of consumables and I think that pipeline is really looking very nice and in terms of number of prospects that we have out there, so that we also are looking forward to having a better year in terms of placement overall of the instruments. I say that even for the year in total for 2010, we placed as many instruments for Soleris as we did the prior year. So we still think that as a very good product line for us going forward in terms of growth potential.
Steven Crowley – Craig-Hallum Capital: And the genesis of my question on AccuPoint in new applications was that you had some neighborhoods where you've done really well like the beverage industry. But also as kind of a horizontal general sanitation monitoring piece of equipment, it seems like you've had some success but there are some other neighborhoods like fast-food, healthcare and the like where we have discussed potential historically. Are you seeing anything like that take better shape?
Lon Bohannon: Well, we believe the opportunities are there. That's a matter of allocation of resources in terms of the timing of when we try to go after some of those markets. I think when we look at some of those it's more than just a single product because the one stop shop has been so successful for us. But those potential markets do exist out there and certainly for AccuPoint and that's another product line that we think is going to be a strong growth driver for us as we move forward towards that goal of reaching $200 million.
Steven Crowley – Craig-Hallum Capital: Fantastic. So really the strength you've had in AccuPoint post new product general release has been in the historical food preparation, beverage manufacturing, marketplace that you've targeted that historically?
Jim Herbert: That's right. It’s either the growth of the market or growth in market share.
Steven Crowley – Craig-Hallum Capital: Great. Thanks again for taking my questions, gentlemen.
Jim Herbert: You bet.
Operator: Your final question today comes from Joseph Patin [ph] from Wells Fargo. Please go ahead.
Joseph Patin – Wells Fargo: Another great quarter, guys. Fantastic.
Jim Herbert: Thanks, Joe.
Lon Bohannon: Thanks, Joe.
Joseph Patin – Wells Fargo: Rick, I come up with cash flow number of around $21 million in for the fiscal year and $0.95 a share, am I close?
Rick Current: Well, the cash flow from operations will be $28 million. If you take the CapEx off of that which…
Joseph Patin – Wells Fargo: Okay.
Rick Current: I don't for purposes of that discussion you would be back down to $21.
Joseph Patin – Wells Fargo: Okay. Good. The other question is kind of a big picture question related to worldwide food supply and safety and security and all of that stuff. What are your perceptions on what's going on out there? You know, the – you get a number of commentators that talk about potential crises in food supply and all that stuff. What are your thoughts?
Jim Herbert: Well, I think that you, we'll continue to see pressure pretty much worldwide and there's some areas that have gotten cleaned up. There's some areas outside of the U.S. in particular that still need to be cleaned up. So I don't think that, Joe, we'll see any lightning and we’ll get disconnected here for, in the next year or two. I mean, it's a, I think it's not only, we probably are finding more, reporting more instances but also based on the things that we've talked about like particularly in animal agriculture where we've got more animals in smaller spaces, we're running processing plants at much higher speeds than we did before. We've got water problems in certain areas. I think we probably are challenged by more food safety problems. And it's kind of interesting to see how that's more and more beginning to move back inside the farm gate, which is the place that we need to be doing some things to take some remedial action.
Joseph Patin – Wells Fargo: Is the recalls that we're seeing in OIE [ph], the recent one was the lettuce or the leafy vegetable recall, is that kind of the running trend or is it something that seems to be popping up more often?
Jim Herbert: No. I think the trend is just increasing at. I can’t even tell you whether that was the last one. There's almost one a day that's popping up somewhere, but…
Joseph Patin – Wells Fargo: Are they using your product?
Jim Herbert: By and large not, that's one of the first questions that I ask when I see a big one, is who's test were they using and oftentimes the answer comes back probably nobodies or they were sending it to a third-party outside lab, which means they may not have been getting timely results back. But, we've got, on the leafy vegetable issue we've got to come to group with some intervention. We just can’t test our way out of there. Part of that is coming from contaminated irrigation water. We've got to do some more – we've got to be watching that closer and part of it is coming from those areas that are, they are short on water. So, particularly when we look at the west coast, they've got a water shortage, so they've been forced to use ground water and some other things for irrigation, which doesn’t make a lot of sense. Plus the fact that there are some new developments on intervention that will provide washes or sprays to help knock down contamination in those leafy vegetables as they’re being harvested and processed. There is, in fact, even a company that's got a very interesting product that goes into the grocery store in which they can use some very, very low level radiation to knock down any pathogenic bacteria that might be on fresh fruits and vegetables. So it's, I think that all of the attention is giving rise to inventiveness and ingenuity as we look at ways to try to stop some of those problems.
Joseph Patin – Wells Fargo: Thank you.
Jim Herbert: Yeah.
Operator: Gentlemen, that concludes the question-and-answer session for today. Please go ahead with any closing comments.
Jim Herbert: Good. Well, for those of you especially that are nearby, I'd be remiss if I didn't announce that on Thursday of this week we'll have our annual Open House for investors and friends. It's – I think this is the 25th or 26th year that we've done that. Expect a big crowd that's got a country very style, tent on the ground, barbecues, et cetera. So if you didn't get your invitation, well consider yourself invited and starts about 4 o’clock on Thursday. We'll have a little opportunity to talk obviously with a lot of people individually. But some more comments, formal comments at that time. Other than that, we have nothing for to close this meeting other than thank you all for your participation and we appreciate the interest you've had in the company and what's been a good year and we're off.
Operator: Thank you for participating in today's Neogen's fourth quarter and fiscal year 2010 year-end results conference. This concludes your conference for today. You may all disconnect at this time.